Operator: Greetings, and welcome to the Terex Second Quarter 2023 Results Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Paretosh Misra, Head of Investor Relations.
Paretosh Misra: Good morning, and welcome to the Terex second quarter 2023 earnings conference call. A copy of the press release and presentation slides are posted on our Investor Relations website at investors.terex.com. In addition, the replay and slide presentation will be available on our website. We are joined by John Garrison, Chairman and Chief Executive Officer; and Julie Beck, Senior Vice President and Chief Financial Officer. Their prepared remarks will be followed by Q&A. Please turn to Slide 2 of the presentation, which reflects our safe harbor statements. Today's conference call contains forward-looking statements, which are subject to risks that could cause actual results to be materially different from those expressed or implied. In addition, we will be discussing non-GAAP information we believe is useful in evaluating the company's operating performance. Reconciliations for these non-GAAP measures can be found in the conference call material. Please turn to Slide 3, and I'll turn it over to John Garrison.
John Garrison: Thank you, Paretosh, and good morning. I'd like to welcome everyone to our earnings call and appreciate your interest in Terex. I would like to begin by thanking all Terex team members around the globe for their excellent work in meeting the needs of our customers and dealers and for their continued commitment to safety. Our zero harm safety culture extends across everything we do. It is our first priority and primary responsibility to create a zero harm environment for our team members, who think safe, work safe and go home safe every single day. Please turn to Slide 4 to review our outstanding second quarter financial results. This quarter, the team delivered sales of $1.4 billion, up 30% from last year, operating margins of 15% and expansion of 540 basis points from the prior year, and earnings per share of $2.35, more than doubled on a year-over-year basis. As a result of the strong execution by our team members in the first half of the year, and robust backlog across our businesses, we are raising the full year outlook to approximately $7 per share. Please turn to Slide 5. Terex is well positioned to capitalize on several megatrends that are expected to drive continued growth in the coming years. Across the globe, the public and private sectors have made significant infrastructure investments, which are critical to support economic growth and meet the needs of increasing population and urbanization. Global annual spending on infrastructure is approximately $5 trillion. The U.S. is starting to modernize infrastructure after decades of underinvestment. And the Infrastructure Investment and Jobs Act alone is expected to drive $550 billion of additional spending over five years. Both our segments are well positioned to benefit from accelerating infrastructure spending. For example, our Powerscreen and Finlay brands have leading positions in global mobile crushing and screening markets that will benefit from growth in the demand for aggregates. Terex Utilities offers a wide portfolio of products well positioned to capitalize on the investments needed to enhance the electric grid. In our Genie booms, scissors and telehandlers are essential components of any infrastructure project. In addition, the CHIPS Act and the Inflation Reduction Act are expected to generate more than $600 billion of spending related to digitization, chip manufacturing, clean energy and onshoring over the next several years. In fact, manufacturing spending in the U.S. is up 56% in the last 12-month period as multibillion dollar and multiyear investments related to semiconductor manufacturing, clean energy and EV battery projects are beginning. Our Genie business will benefit from growth in data warehousing and chip manufacturing onshoring projects, while Terex Utilities has leading capabilities in place to support strengthening demand from clean energy related electrification initiatives. Further, waste disposal and recycling regulations are becoming more stringent globally in response to increasing focus on sustainability. Our MP brands, including Ecotec, CBI and Terex Washing Systems are at the forefront of the markets, providing customers with innovative recycling solutions. We are excited about the opportunities we had for Terex to capitalize on these megatrends by delivering innovative products and solutions for our customers. Please turn to Slide 6 to review our backlog. For more than two years, we've been constrained in our ability to increase deliveries due to supply chain challenges. Our backlog of $3.7 billion remains significantly above historic levels. And it's the second highest backlog for Q2 in recent history. Customer and dealer push outs and cancellations remain minimal. Consolidated Q2 bookings remain healthy at $1 billion, which is consistent with last year. Our backlog demonstrates the strength of our end markets, supports our improved outlook and gives us visibility into early 2024. In addition, elevated customer fleet ages and low dealer inventory levels continue to support demand. In our Genie business, the industry replacement cycle is still ahead of us, and we are not at pre-pandemic levels which creates an opportunity for future growth. In our MP segment, our bookings were up 9% year-over-year. Turning to Slide 7 for an update on our strategic operational priorities. We continue to make strong progress on our execute, innovate and grow strategic initiatives. Our operations team had excellent execution during the second quarter, allowing us to improve deliveries to our customers and increased sales by 30%. Supply chain performance did improve during the quarter, but we continue to experience a lingering supply chain disruptions in the system. Our team members reduced our hospital inventory levels by half. And our persistent focus on cost reduction and productivity improvements contributed to a margin improvement of 540 basis points. Our work on the permanent Genie facility in Monterrey, Mexico, remains on time and on budget. In Q2, we made good progress and continue to transfer product lines to the new permanent facility with a focus on two telehandler lines. We started production of one model in early April, which was followed by the second model in May as planned. In the coming quarters, we anticipate additional product moves from other factories in our network. We also expect our in-house paying system to be operational in the second half of the year. While the new plant will have significant long-term benefits, the ongoing process will result in short-term manufacturing inefficiencies, which the Genie team is working hard to overcome. Our investments in the development of superior performing environmentally friendly new products will also help us to deliver on our growth plans. I want to congratulate our Genie team members for winning the 2023 IAPA Sustainability Award, a strong recognition for their contribution to reduce carbon emissions and improve energy efficiency. Turning to Slide 8 to review some examples of purposeful innovation. The Fuchs material handling machines are capable of working in a wide range of applications. For example, our Fuchs team recently launched a new model focused on forestry and tree care at the LIGNA trade show in Germany. The global demand for waste recycling solutions is increasing, driven by regulatory and societal changes. Terex Washing Systems recently developed an innovative solution to process hydrovac waste into products that generate revenue for our customers while recycling water and reducing waste disposal. We see a bright future ahead for our environmental businesses by leveraging existing competencies and capitalizing on attractive market opportunities. Please turn to Slide 9. We are committed to our ESG program that will deliver value for all stakeholders. During each quarterly investor call, we will feature one of the pillars of our ESG strategy. This quarter, we are highlighting governance. At Terex, we are proud of our firm commitment to strong governance practices. We have an engaged, experienced, diverse and independent Board of Directors committed to maintaining strong governance practices. We also maintained extensive shareholder engagement. We conduct an annual say-on-pay vote and a substantial portion of executive compensation is directly linked to company performance. Our Board of Directors also provides oversight for sustainability efforts. We are firmly committed to protecting our reputation by making decisions and taking actions that align with our Terex Way values and the framework outlined in our code of ethics. Please turn to Slide 10. We continue to operate in a challenging environment, with macroeconomic and supply chain uncertainties. We remain diligent in monitoring credit and interest rate market conditions that continue to evolve. We saw improvement in the supply chain during the quarter. Our team was able to reduce, but not eliminate our hospital inventories, which indicates that we are not back to pre-pandemic levels. Additionally, inflationary pressures are moderating, but overall, our costs continue to increase. I am confident in the team’s ability to continue to adapt and overcome the macroeconomic challenges that we have been facing. And with that, let me turn it over to Julie.
Julie Beck: Thanks, John, and good morning, everyone. Let’s take a look at our second quarter financial performance found on Slide 11. We demonstrated excellent execution in a dynamic environment. Sales of $1.4 billion were up 30% year-over-year on higher volume and improved price realization necessary to mitigate rising costs. Sales in constant currency were up 31% and as foreign currency translation negatively impacted sales by $10 million or approximately 1%. Gross margins increased by 460 basis points in the quarter as volume, pricing, improved manufacturing efficiencies and strict expense discipline helped to offset cost inflation. SG&A increased over the prior year due to inflation, incremental spend on new acquisitions and increased marketing, engineering and technology expenses. SG&A was 9.5% of sales, a decrease of 60 basis points from the prior year due to strict expense management and higher sales. Compared to last year, income from operations of $210 million more than doubled, operating margin of 15% was up 540 basis points and our incremental margin was 33%. Interest and other expense of $18 million increased $3 million from the prior year due to unfavorable mark-to-market expenses on third-party investments and higher interest rates. The second quarter global effective tax rate was 16.7% due to the reversal of a valuation allowance. Second quarter earnings per share of $2.35 more than doubled, representing $1.28 improvement over last year. This strong performance was driven by increased volume, disciplined pricing and continued cost management. This quarter includes an unfavorable earnings per share impact of $0.03 from foreign exchange translation. Free cash flow for the quarter was $135 million, representing a significant improvement over the prior year. I will discuss free cash flow later in more detail. Let’s look at our segment results. Starting with our Materials Processing segment found on Slide 12. MP had yet another excellent quarter with consistently strong operational execution. Sales of $577 million increased 20% compared to the second quarter of 2022, with healthy demand for our products across multiple businesses. On a foreign exchange neutral basis, sales were up 22%. MP operating profit increased 23% over the prior year, driven by higher sales volumes, favorable product and geographic mix, improved manufacturing efficiencies and disciplined cost management with strong operating margins of 17%. Bookings were up 9% over the prior year. MP ended the quarter with backlog of $1.1 billion. The backlog remains robust and is approximately 2.5 times historical norms. On Slide 13, a see our Aerial Work Platforms segment financial results. AWP had an outstanding quarter, with sales of $825 million up 38% compared to the prior year on higher demand, disciplined pricing actions to offset cost pressures, improve supply chain and a reduction of our hospital inventories. AWP more than doubled their operating profit and delivered operating margins of 16.2% in the quarter, up 850 basis points from last year with an incremental margin of 38%. The improvement was a result of higher sales volumes, favorable geographic mix, cost reduction initiatives and manufacturing efficiencies offsetting increasing costs. Bookings of $513 million were at a healthy level and AWP has a strong backlog of $2.7 billion. Please see Slide 14 for an overview of our disciplined capital allocation strategy. Terex is an excellent financial position and our strong balance sheet provides us with financial flexibility to invest in our future growth. Free cash flow for the quarter was $135 million compared to $44 million a year ago. The $91 million year-over-year improvement in free cash flow was due to increased operating profit and the sale of our Oklahoma City facility. Hospital inventory at the end of the second quarter was $23 million, a decrease of $25 million from the first quarter of the year, thanks to the hard work of our team members. We continue to invest in our business with capital expenditures and investments of $25 million, which was more than offset by $33 million in proceeds from the sale of our Oklahoma City facility. In July, we announced a 13% increase in our dividend to $0.17. This follows a 15% increase we announced earlier this year. The combined increases put our dividend 31% above last year and reflect our continued confidence in the company's strong financial position and future prospects. We repurchased $31 million of shares in the second quarter. We have fully offset dilution associated with incentive comp for the year and have $159 million remaining on our share repurchase program. We continue to believe Terex shares are an attractive investment and we intend to take advantage of market dislocation. We have no debt maturities until 2026 and 82% of our debt is at a fixed rate of 5% until the end of the decade. Our net leverage remains low at 0.7 times, which is well below our 2.5 times target through the cycle. We have ample liquidity of $763 million and we reported a return on invested capital of 28.2%. The company is in an excellent position to execute our plan and grow the business. Now turning to Slide 15 and our updated full year outlook. It is important to realize we are operating in a challenging macro environment with many variables and geopolitical uncertainties. So results could change negatively or positively. With that said, this updated outlook represents our best estimate as of today. Thanks to the strong performance of our team members and robust backlog, we are raising our 2023 outlook to approximately $7 per share. Our increased sales outlook of approximately $5.1 billion incorporates the latest dialogue with our customers and our suppliers. Our sales in the second half of the year are expected to be lower than the first half due to normal production seasonality and lingering supply chain constraints. We have increased our operating margin outlook to approximately 13%. This reflects our excellent performance in the first half of the year, continued robust backlog, the latest information from our supply chain, cost out benefits and continued strict expense management partially offset by cost increases and manufacturing inefficiencies related to the product transfers in our Genie network. We expect improved free cash flow in the second half of the year, and we are raising our outlook to approximately $375 million due to higher earnings. Let's take a look at our updated segment outlook. Based upon MP's continued strong execution, we are increasing our sales outlook to approximately $2.2 billion and an operating margin of approximately 16%. We expect MP sales and margins to be relatively consistent for the remainder of 2023. The AWP team has increased their factory output and as a result, we are increasing our sales outlook to approximately $2.9 billion. Incorporating the increased volumes, the team's cost reduction activities, pricing actions and improved manufacturing efficiencies, we are raising our full year operating margin outlook to approximately 13.8%. We anticipate AWP sales in the second half to be lower than the first half due to fewer production days and lingering supply chain constraints. AWP's strong margins in the second half of the year are expected to be negatively impacted by lower seasonal volumes, cost increases and manufacturing of inefficiencies related to scheduled production moves to our Monterrey facility. And with that said, I will turn it back to you, John.
John Garrison: Thanks, Julie. Turning to Slide 16 to conclude my prepared remarks. Terex is well positioned for growth to deliver value for our stakeholders in 2023 and beyond because we participate in strong end markets, including infrastructure, electrification and environmental. We'll continue to execute our disciplined capital allocation strategy while investing in new products and manufacturing capabilities, along with strategic inorganic growth. We have demonstrated resiliency and adaptability in a challenging environment. And we have great team members, businesses, strong brands and strong market positions. And with that, let me turn it back to Paretosh. 
Paretosh Misra: Thanks, John. As a reminder, during the question-and-answer session, we ask you to limit your questions to one and a follow-up to ensure we answer as many questions as possible this morning. With that, I would like to open it up for questions. Operator?
Operator: Thank you. [Operator Instructions] Our first question comes from Steven Fisher from UBS. Please go ahead. Your line is open.
Steven Fisher: Thanks. Good morning and nice quarter on the margins there. You guys have been vocal about wanting to have a bit lower backlog and reducing lead times for your customers. So I guess – but looking at your main AWP competitor, that showed backlog growth yesterday. What do you think is the main difference between their experience and yours during the quarter?
John Garrison: Yes, thanks, Steve. There's a lot of timing activities. But just, again, looking at it from the highest level, having overall company backlog at $3.7 billion, it reflects three times our historical norms. We did have strong bookings in the quarter of $1 billion, which again was consistent with last year. And I think what's also important is that we continue to see minimal cancellations and push-outs across the backlog across both segments.  And given the level of backlog, we think that's really important. The other comment is we've booked $1.5 billion for 2024. So that gives us some early visibility into 2024. And as you and I have spoken, and I've spoken with investors when I'm out on the banker's conference, we really are in a unique set of circumstances and that we have a strong demand environment. But over time, we could be looking at declining backlog. And why is that in a strong demand environment because we're beginning to see the improvement in production and providing better service to our customers and delivering products closer to when they need it. And again, the other thing is as our lead times improve and we still have extended lead times, but as they move back to more historic norms, it's possible we're going to see book-to-bill rates decline, but we may still continue to be in a strong demand environment, which is what we're currently seeing. Why is that? Because lead times would be normalizing. And again, that helps us and helps our customers from a planning cycle. So overall, we're seeing a strong demand environment. Now as it pertains specifically to AWP, I think it's more timing of anything. Our backlog is $2.7 billion. Conversations with customers vary, bookings vary at different times, given the disruptions that we just talked about. And then overall, as we look at our market share for the last 12 months, in our AWP segment, it's been relatively consistent with no significant change one way or the other. And so I think it's as much timing with conversations potentially with customers as anything. But the underlying market demand is – remains strong, and we've got some good visibility into early 2024, which is high. You've been covering us a long time. It's highly unusual. We have this level of backlog going into 2024. So that's how I approach it. Again, unique circumstances. And again, it's an interesting dynamic. You can have strong demand with declining backlog and book-to-bill that may be declining, but that's more about production than it is overall demand. So interesting environment. And again, $3.7 billion, it's three times our historical norm.
Julie Beck: Hey Steven, just to add a little bit of that. Demand remains strong due to the high utilization rates, the aging fleets and the electrification projects. And we expect multiyear strength in – as a result of the replacement demand and growth of customer rental fleets due to strong residential construction and onshoring and to be further supported by those multiple infrastructure builds as well. So we expect strong demand going forward, with that – with the good visibility into 2024.
Steven Fisher: That's very helpful. And it's a bit early, but you do have a good amount of backlog for 2024. I think you mentioned $1.5 billion, how likely a scenario is it that your cost could actually be lower next year? Or is it sort of an inevitability that they're going to be still somewhat higher?
John Garrison: So overall, from a – I think it's a broader supply chain and cost question. Again, on the good news side, we did see improvement in our supply chain in the quarter, although we're not back to pre-pandemic levels, but the improvement has clearly helped. We have seen some lingering supply disruptions. And in terms of the inflationary side, we continue to see inflation in our materials as we go forward, especially labor as global labor rates have gone up, that's being incorporated in the material cost.  So we continue to see component cost increases. On the positive side, we have seen a decline in ocean freight rates and land [ph] rates, which we think will help. But net-net, anything that we've booked into 2024, we're anticipating, what the 2024 cost structure will be, and we're anticipating increased cost in 2024.
Steven Fisher: Very helpful. Thanks so much. 
Julie Beck: Thanks, Steve.
Operator: Our next question comes from Steve Barger from KeyBanc Capital Markets. Please go ahead. Your line is open. 
Steve Barger: Hey, thanks. Good morning.
John Garrison: Good morning, Steve. 
Steve Barger: Your guidance assumes maybe a mid-30% consolidated incremental, which is nicely above the 25% you typically talk about. If you generate top line growth next year that's mid-single digit or better, does that – the above-trend incremental this year detract from next year? Or is 25% achievable on that incremental growth?
Julie Beck: Thanks for the question, Steve. A bit early to talk about 2024 at this point, but we would – long term, our goal is 25% incremental margins.
Steve Barger: Got it. But is there anything like structurally that you would see that could hinder that?
Julie Beck: Not at this time. It's early to talk about 2024.
Steve Barger: Understood. And looking at the demand environment and your backlog, can you talk about capacity constraints for next year? Or do you have enough capacity to grow revenue, for instance, 10% or something next year if the demand is there and the supply chain constraints are resolved?
John Garrison: Steve, yes, we do have the capacity. If you just look at – if we look at our AWP segment, we're producing it at levels lower than where we were in 2018 and 2019. So we have the physical capacity. We have our new plant in Monterrey. Again, that was for global competitive reasons, but it will give us capacity. If we look at our MP businesses, we've been investing, if you look at our capital expenditures, we've been investing through the cycle in CapEx. We've made investments in India. We've made investments in Northern Ireland. We're making investments in our German plant. So we've been investing all along in our plants and our capabilities and capacity. So we're well positioned to meet the growth needs if they materialize or when they materialize in 2024.
Steve Barger: That’s great. Appreciate the time. 
John Garrison: Thanks, Steve.
Julie Beck: Thanks, Steve.
Operator: Our next question comes from Steve Volkmann from Jefferies. Please go ahead. Your line is open. 
Steve Volkmann: All right. Good morning guys. I see what we're doing here, leading with the Steves…
John Garrison: Yes, these two – go ahead.
Steve Volkmann: I'm just glad to be part of the group that's all. So my question is on sort of the second half margins in AWP. And I'm curious if you have any guidance for us relative to sort of the cadence of the second half and also maybe a little more sharper pencil around the impact of the moves down to Monterrey.
Julie Beck: Okay. And thanks for the question, Steve, happy to. So we look at our AWP business for the second path. It implies the sales outlook of $1.4 billion in the second half, so $2.9 billion for the year. We anticipate lower sales in the second half as the segment sees lingering supply chain constraints, and the sales will also be impacted by fewer production days as is typical in the fourth quarter. From an operating margin perspective, our fiscal year outlook is 13.8%, which reflects a 590 basis point improvement year-over-year. Some of the factors that impact the second half are things like manufacturing and efficiencies related to that scheduled production moves throughout the Genie network. We estimate that to be somewhere between $10 million and $15 million in the second half. Again, those fewer production days as is typical. And that impacts manufacturing efficiencies in the fourth quarter, in particular, less favorable product and regional mix, and we're assuming flat hospital inventory for the rest of the year. So the team has really done an outstanding job of execution and they're delivering a 400 basis point improvement year-over-year. So really happy with AWP – they're doing a great job managing customer orders, cost inflation, supply disruptions and production changes to deliver that significant year-over-year improvement.
Steve Volkmann: Got it. Okay. Thanks for that. And then maybe a little early on this topic, but I'm curious of how you're thinking about electrification in AWP. My guess is that's sort of a ripe area for electrification, but my guess is also it's pretty small so far. So I'm curious sort of how many models of kind of electric AWPs are available? And do you see people sort of shifting from ICE to electric in that product? And then the final piece of that is what do you think that does to your margins over time? How is the margin on an electric versus a nice product?
John Garrison: Thanks for the question. In the AWP Genie team so Genie and then also utilities. But we've had a very active electrification program, Steve, in the Genie business. And just to throw out some statistics for you. 76% of the total scissor revenue that we have today is already electric powered. 66% of the scissors offer either hybrid or electric. So you can see almost three quarters of the scissor volume is already there electric, and we'll continue to adapt as we go to electric, more electric drives, more electric over hydraulics in the future. If you look at our boom products, 30% of our products are either offered in hybrid or electric – in – from an electrification standpoint. And I think this is also important because part of the progress of margin expansion and the great work the team is doing is in our new product development 65% of the products over the last three years that we brought to market have been either hybrid or electric and they enjoy good margins. One of the things that we strive for in new product development is are we bringing products to market that meet the needs of the customer, but we're also looking at it, can we drive gross margin improvement as well. So I think the team has done a really good job of that. So, right now, it's well over a third, almost a third of the total revenue is attributed to some type of electrified piece of equipment. And I think that will continue to grow over time. And then the other thing that you saw the investment we made and I thought this is important with in Acculon. And Acculon is really going to help us on battery, battery technology, bringing these things to market from a certification standpoint as well. And so electrification is incredibly important to our product portfolio across the portfolio. And I think Genie is well positioned as we go forward. The one product line that perhaps will lag on electrification is telehandlers and that's really more around the duty cycle, but there's activity occurring in telehandlers as well. And then our Utilities segment, as you know, we introduced the first all-electric bucket truck into the market and sales of that are continuing. And again, we were brought that to the industry first. So electrification very important overall as well in our MP segment and it's an area that we're spending a lot of investment dollars in our technology. And ultimately, we anticipate that the margins of that product over time will be similar to the margins we enjoy in [indiscernible]. Early on, it may not be, but over time, it definitely is tracking in that direction.
Steve Volkmann: Great. Thanks, John. I appreciate the color. I will pass it on, but I do think you're out of Steve's.
John Garrison: We'll work on it.
Operator: Our next question will come from Seth Weber from Wells Fargo. Please go ahead. Your line is open.
Seth Weber: So close. Well, I appreciate – I appreciate you're slotting me in. I wanted to ask about the strength in the MP orders. Some of your peers had less good orders on the crushing and screening side of the business. I'm wondering if you could maybe just disaggregate your MP orders a little bit, talk about what you saw in crushing and screening, particularly or maybe some of the other categories that were better? Thanks.
John Garrison: Sure, Seth. So overall, MP had a really strong quarter with their sales up 20% over the prior year and particularly strong in North America. Bookings were up 9%. There is some caution and some softness in Europe, and I'll talk about that in a couple of our product offerings. On the aggregate side, sales and bookings were up year-over-year, and backlogs remain elevated. We continue to see lumpy order processing there given when the order book is open or not open in the aggregates. But again, continued good demand globally for – in the aggregate side of the business. On the concrete side, sales and bookings were up year-over-year. However, backlog was down slightly, but remains at a healthy level. We think that is going to bounce back based on the infrastructure bills and infrastructure activities. Our concrete business is more tied to residential construction of any of our other businesses and you saw the decline in residential starts. We think that's going to bottom out here in the second and third quarter and then pick back up. So we'll be watching that. And that business was also impacted more by chassis availability and supply chain issues that they've had to deal with. Our Fuchs business, our Material Handling business over in Germany, sales were flat in Q2 and bookings and backlog were up year-over-year and I think this is really a good news story of what this team has done is around the diversification because scrap steel has been a little softer, prices came off, dealers that were just focused on scrap steel saw some slight build-in in inventory, but with the new products we're bringing into other markets, the products that we're bringing into recycling, we highlighted in our earlier comments. Moving into Tree Care, that diversification is really helping our Fuchs business. Environmental is strong, led by Europe, but as the world continues to change and adopt environmental practices that business continues to grow for us. And then in our listing business, sales were flat and both bookings and backlog declined. We called that out last quarter, principally, it's our tower cranes business in Europe. We saw some softness. Our RT cranes business did recover nicely in the quarter. And then our Franna business, down in Australia, has well over a year's worth of demand and the Australian market remains strong. So again, overall, strong demand backlog at 2.5x historical norms. And really what's important here seeing minimal cancellations and minimal push outs in the order book. And that's what we'll really continue to focus on. Hopefully, that helps, Seth.
Seth Weber: Yes, that's great. Thanks, John. And then maybe just a follow-up for Julie. I appreciate the color about the $10 million to $15 million cost pick up with the move to Mexico. Is there any way to think about what that number might be for next year and how that compares to the 2023 impact? I'm just trying to understand if that gets worse in 2024 or less bad relative to…
Julie Beck: Again, early for 2024 and to talk about that, but we will be continuing our moves throughout the Genie network into 2024. So there will be some disruption in 2024, and not higher, I wouldn't anticipate, but we will still have some inefficiencies in the system as we make those product line moves.
Seth Weber: Okay, thank you.
Operator: Our next question comes from Jamie Cook from Credit Suisse. Please go ahead. Your line is open.
Jamie Cook: Hi, good morning and congrats on a nice quarter. I guess, Julie…
John Garrison: Thanks, Jamie.
Jamie Cook: Thanks, John. Julie, another question just on your sales and your margins are moderating in the back half of the year, but the incremental margins are actually improving significantly. I think when you see most other companies talking about incremental margins starting to taper off. So, I'm just wondering what's going on there, what's price/cost versus stuff that might be more structural. And then my second question just as understanding supply chain isn't totally back to normal, but it is getting better. I'm just wondering if there is an opportunity on the inventory side as you just get a little more comfortable with what's going on? Or do you still feel the need to hold a lot of excess inventory just because of the supply chain issues? Thank you.
Julie Beck: So Jamie, a couple of questions. I'll start with. I would just say that the Genie team in particular has really, really done an outstanding job in cost reduction in value-added engineering and manufacturing efficiencies improved. And so they've just done a really great job, and that's what's really delivering the improved margins. So there they've increased their operating margins by 590 basis points to 13.8%. They've been managing those supply chain disruptions. And they're – again, they're opening up this new facility as well. So the really big improvement is really in the Genie costs, and they've done a really nice job in that. And we're starting to see that in the bottom line, and we expect that to continue in the second half of the year.
John Garrison: And then on inventories, Jamie, again, there is more inventory in the channel. So as Julie said, the team did a really good job in the quarter. We reduced our hospital inventory by half, and we're anticipating it's going to stay at that level for the remainder of the year. The bad news is we're still talking about hospital inventory, but again, we are seeing improvement. I also believe, over time, I don't think it's going to be substantial, Jamie. But given the level of disruptions we've all felt in the supply chain over the last couple of years, I do think there is going to be some level of higher inventory that's carried to ensure that we reduce the level of disruptions that we've experienced. Does that mean that just in time inventory management practices are over? No. But I do think it's going to require a little bit more inventory in the system for us to do a better job of meeting our delivery commitments for our customers as we go forward. So a higher level of inventory substantially higher, perhaps not, but again, we're still seeing disruptions and you see it in our inventory levels in our working capital levels, doing a really good job in receivables. They look great. Payables are good. Inventory is an area that we're focused on, and it's being driven by that disruption.
Jamie Cook: Thank you.
Operator: Our next question comes from David Raso from Evercore ISI. Please go ahead. Your line is open.
David Raso: Hi, thank you for the time. I was curious, the backlog in AWP. Can you help us a bit with some color on the mix within it? Can we speak of the mix of products maybe the mix of end market, meaning more majors or independents? And then also geographically, just trying to get a sense of what's in the backlog as it sits today, with assuming that's where some of the visibility could be on mix to start the spring shipments on 2024?
John Garrison: Right. So thank you, David. In terms of backlog, if we look at customer mix, start there, no fundamental change really in customer mix. It's close. It ebbs and flows a little bit quarter-to-quarter in terms of independents and national accounts. Again, it's been – we're trying to keep customers equally happy. And so that backlog mix reflects the sales mix and it does not reflect any significant change over historical norms. From a product standpoint, I would say, similar story from a product standpoint, as we ramp up production of telehandlers in Mexico, I think that's going to help telehandler market. It's been quite strong. And so we need that increased production out of our plant down in Mexico for telehandlers. So again, no – for us, no dramatic shift in product mix. And then if you look at geographical mix, the geographical mix is definitely skewed more towards North America and to some extent, Europe. David, we made the choice. A year ago, we would have had more backlog in China. But given the Chinese market and the softness that we've seen in the Chinese market, we chose to take the product from China and export it to other regions rather than fight the pricing levels, frankly, that were going on in China. So from a mix standpoint, it's actually a bit favorable mix for us and that it's more North America/Europe oriented versus a year ago, we would have had more backlog in China. Does that help, David, from a customer product and geographic standpoint?
Julie Beck: Just to add a little bit, we're also seeing strength in Asia and the Middle East as well.
David Raso: Yes. It's helpful, just trying to think about 2024 be bigger picture, right? This year's sales are going to be similar to 2018. I would argue geographically all-in utilities, everything. North America is probably pretty similar, about two thirds of the mix and I'm assuming AWP is similar, kind of 72%, 73% of the mix. So at first blush, it doesn't look terribly different. But obviously, this year has a lot more pricing, right? I mean when you look at the revenues, it looks similar, but, as you said, your volumes are not back to where they were in 2018, but the margin is about 350 bps or so higher. And I'm just trying to think about 2024 with the mix that's currently in the backlog, but also just if I asked you, same revenue this year is 2018, but the margins are 350 basis points higher. The main driver at first blush people said was, as we price cost, I don't see it in the obvious mix. Can you help us a little bit on why the margins are higher at lower volumes? And the answer might be just right price cost and how that might enlighten us a little bit to think about 2024's margins?
John Garrison: No, really good question, David. And it's not all price cost. Remember, our pricing strategy – we're seeking price cost neutrality and we achieved that. We were negative for the first half of last year and we've recovered this year. But I think if you look at the specific, the AWP segment, the Genie and Utility teams, they've really been focused on improving their global cost competitiveness. And really have dramatically changed the cost structure of these businesses. If you look at our fixed and variable cost ratios, we focus intently on improving total cost productivity and flex productivity, and the team is doing a really good job on that even in this disruptive environment. Cost-out programs, Julie talked about the value-added engineering programs. Those have been going on for years behind the scenes. It’s taken longer, because it takes longer to get prototype parts now with the supply chain challenges, but as we’re seeing some better volume, those things are starting to show up in the P&L. They’ve been very disciplined. I would say this is across Terex, but especially in the Genie and Utilities businesses around SG&A and leveraging that as our sales increase. Now with that said, we are going to continue to invest in product and engineering and technology, but they’re doing a great job there, strategic sourcing and plans and again, developing that Mexico supply chain. I know you were down in the plant, David, so thank you. But it’s a big part of what we have to do, and there’s a ton of work that has to happen as we go forward in our Mexico supply chain, but they’ve been doing a really good job managing their strategic sourcing and the suppliers in this challenging environment as we go forward and that has helped. And then as pricing discipline, process efficiency and effectiveness, making sure that we’re staying rigorous on pricing discipline. But again, we spoke the story about new product developments and really bringing new products to the marketplace, that are really focused on providing value to our customers, but also driving gross margin improvement. That’s a mindset. You can’t bring it out at a lower gross margin than the product that it replaces. And so the team is really working hard on that. And then our parts and service business is also important. So if you look at that, the team has done a lot of good work. We think we’re positioned very well as we go forward, and that was all about AWP. And then David, the other part of the business is our MP business. And if you just look at what they’ve done and how they’ve executed through multiple cycles, great margin. We’re making investments in that business. Our incremental margin isn’t quite always at that 25% right? Why? Because we’re investing in our environmental business. We’re investing in our technology side and they consistently deliver quarter-after-quarter, time again. So again, David, we’re not going to talk about 2024. But we think the demand environment is going to be good. We’re going to be resilient and we’re going to be adaptable whatever the end market turns out to be.
Julie Beck: And David, though, for us, just to add on, MP is 50% of our operating profit, and they have improved their margins as well since 2019.
David Raso: No, I appreciate that. One last quick one, a little bigger picture, maybe 2025 thoughts more than 2024. The amount of capacity that’s at least being discussed about being at it, we know those plans can change, but at least it feels like right now, 2024 is going to start with enough strength. You would think some of the discussed capacity additions and you know the players from -- players in China to Canada and all the players. I mean, it sounds like enough capacity is coming on. It at least raises an eyebrow for profitability in 2025, 2026, if people want to look out longer what’s the earnings power of Terex. Just kind of curious if you want to give us your thoughts on how to think about that capacity coming on. It feels a little more telly maybe than aerials for some players, but other ones that classic scissors [ph] and smaller booms. Just curious to get your thoughts how to think about that. Thank you. That’s it for me.
John Garrison: Thanks, David. It’s a broad-ranging question. Overall, Western manufacturers, we all play by the same rules. And so I have no concern there in terms of the capacity adds that are being brought on by the Western manufacturers. China market is very slow right now. And so you’re seeing Chinese players look to other parts of the world. That’s always a bit of a wildcard. But again, when it comes to those products and it comes to the type of products that we sell, the importance of the life cycle of the product. It’s not just acquisition cost, it’s cost to operate, residual value, that’s how we battle the Chinese competitors all over the world and on an equal playing field that we can win. And then finally, all the process improvements that the team has implemented and executed one of our values is continuous improvement. We’re never satisfied with where we are. That team is going to continue across Terex. We’re going to continue to drive that continuous improvement mindset so that we can deliver a reasonable return on capital and operating margin, not just this year, but into the future. And again, I would just say this, we will adapt, and we will be resilient to whatever the market conditions are. And the team will deliver.
David Raso: Thank you.
Operator: Our next question comes from Tami Zakaria from JPMorgan. Please go ahead. Your line is open.
Tami Zakaria: Hi good morning. Thank you so much. So my first question is, I think you said you have good visibility into next year, and you’re also anticipating cost inflation to persist. So what kind of pricing are you expecting to realize for 2024?
John Garrison: So what I will say, our pricing strategy hasn’t changed in terms of our pricing strategy also material freight and logistics costs. We have implemented pricing actions that vary, again, by product, by region of the world where it’s manufactured again designed to offset those costs. We’re working hard to manage those costs and push back. As I spoke earlier, we’re still in a dynamic inflationary environment, especially around components positive good news on freight rates. We’re going to be transparent with our customers and distribution partners on the level that we’re seeing and our pricing will reflect that. And again, price cost neutral is the objective that we have.
Tami Zakaria: Got it. And if I can ask one quick one. What was the price versus volume for each of the segments in the second quarter?
Julie Beck: So Tami, the total overall company the volume was 27%. Price was in at 4%. We said we’d be 3% to 5% for the year. And FX was a negative 1%. So when we think about volume, the volume on the AWP side, they had the overall 38% increase, they had a higher volume increase where the MP had a 20% increase in volume and AWPs was higher than that. And then on the pricing side, because MP dynamically prices, and so their pricing as they go through that dealer network, their pricing is a bit lower than that average, and AWP is a bit higher than that average.
Tami Zakaria: Got it. Thank you so much.
Operator: Our next question comes from Tim Thein from Citigroup. Please go ahead. Your line is open.
Tim Thein: Great. Thanks. I’ll just keep it to one. The question is just on MP and it’s going back to an earlier question around aggregates, but I guess it’s more broad than that. And it’s just from the standpoint of so much of that business goes through distribution. I’m just curious, John, if you’ve heard much, just given the move we’ve seen in rates – in interest rates, are you starting or have you seen any impact or pushback from the distribution channel just regarding maybe a little bit more version of holding inventory? I know there’s not much of it. But is that -- are you seeing any impact from that, especially just given how some of the seasonal inflows of products have gotten kind of disjointed. So just get more of a high level, but just curious if that’s come up or been much of an issue for you within MP? Thanks.
John Garrison: Yes. Thanks, Tim. Again, overall global aggregate demand remains strong, dealer inventory levels are relatively low. And remember, in this space, especially in the aggregate space, dealer inventory really is a dealer rental fleet and it goes on rent-to-own type contracts. And so dealers are looking to replenish their inventory. On the good news side, the utilization rates of the equipment out on rent has been high and continues to remain high. Credit conditions are not -- we’re not hearing about credit conditions impacting dealers’ ability to fund. What we have heard and seen a little bit which we will watch and it kind of makes sense on a rising interest rate environment is the rental are staying on rent longer than previously before they convert to a final sale. And that’s that customer kind of building that equity over time. So we’ll watch that. But again, still overall good strong demand environment on a global basis. And it’s not just virgin aggregates that we process in that business is construction demolition as well. And that part of the market has been strong. So that’s what we’re seeing, watching it closely. The good news is dealer inventories need to be built up, dealer rental fleet utilization is high, expanding a little bit longer on rent. We’ll watch that and see what impact that has as we go forward.
Tim Thein: Okay. Thank you.
Operator: Our next question comes from Jerry Revich from Goldman Sachs. Please go ahead. Your line is open.
Jerry Revich: Yes, hi, good morning everyone.
John Garrison: Good morning, Jerry.
Jerry Revich: John, Julie, looking back at your Analyst Day deck, you’re essentially at your 2027 [ph] margin targets for both segments four years early. Can you just give us an update what’s gone better than you folks expected since then, then as we think about what 2027 might look like, is there an opportunity to get the type of margin expansion off of current levels that you had outlined in terms of margin expansion off of 2022 levels in nine months ago or so?
John Garrison: Thanks, Jerry. Well, again, I think the team has executed well across both our MP segment and AWP in the first half of the year. Again, it’s showing up now, but this is work that’s been going on behind the scenes for years now in the value-added engineering activity, the cost-out programs that they’re working on reducing hospital inventory actually saw for the first time in a long time, some improvement in manufacturing efficiency as our volumes increase. And so they continue to make progress, the manufacturing network optimization of Monterrey. That’s going to be -- there’s still a lot of work that has to go on over the course of the next 18 months as we move products from around the globe into that facility. They’re going to continue to bring, as I spoke on the new products to marketplace. That’s an important part of the overall program. And so yes, the team is -- we should have confidence, we had confidence when we put out the targets, given the progress to date, it gives us more confidence that those targets are absolutely achievable for the team as we continue to drive improved execution going forward.
Jerry Revich: Super. And then I can ask in terms of with the supply chain ramping up, this cycle is a little bit different from a seasonality standpoint. As we think about the production schedule into early 2024, just applying normal seasonality off of fourth quarter numbers would imply year-over-year growth in deliveries in the first quarter and even first half of the year. And I just want to make sure there has been no shift in terms of the seasonal pattern considering just how abnormal this year has been from a supply chain standpoint?
John Garrison: No, Jerry, again, it’s -- we’ll provide the 2024 outlook and on our Q4 call, but no, the seasonality. As a matter of fact, Jerry, as things improve, we’re going to return to more normal seasonal patterns over time with our customers. And so as supply chain improves, that will drive more to more normal seasonality as we go forward.
Jerry Revich: Thank you.
John Garrison: Thank you.
Operator: We have no further questions in queue. I’d like to turn the call back over to John Garrison for closing remarks.
John Garrison: Thank you, operator. If you have any additional questions, please follow up with Julie or John or Paretosh. Please stay safe and healthy, and thank you for your continued interest in Terex. Operator, please disconnect the call.
Operator: This concludes today’s conference call. Thank you for your participation. You may now disconnect.